Operator: Welcome to the Third Quarter 2016 Identiv Earnings Call. My name is Danielle, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. On the call with me today are Steven Humphreys, CEO of Identiv; and Steven Finney, CFO. In a moment, you will hear remarks from both of them, and then we’ll take questions from sell-side analysts. Before we begin, please note that during this call we will be making references to non-GAAP measures or projections including non-GAAP gross margins, operating expenses and adjusted EBITDA. A complete reconciliation between each of these non-GAAP measures and the most directly comparable financial measures can be found in today’s press release, which is available on identiv.com. In addition, during our call today, we will be making forward-looking statements. Any statement that refers to expectations, projections, or other characteristics of future events, including financial projections and future market conditions is a forward-looking statement. Actual results may differ materially from those expressed in these forward-looking statements. For more information, please refer to the Risk Factors discussed in documents filed from time-to-time with the SEC, including the Annual Report on Form 10-K for fiscal year 2015. Identiv assumes no obligation to update these forward-looking statements, which speak as of today. I will now turn the call over to Steven Humphreys for his comments. Steven?
Steven Humphreys: Thanks, Danielle. And thank you all for joining us today. Especially on this day when there are big changes effecting us all, we appreciate you taking the time to join this discussion. Despite all the events around us, this is also a big day for Identiv. As I’ve spoken with investors, customers, partners and other stakeholders all year, our conversations have been mostly about our health as a company rather than the amazing market opportunity we have or the exceptional position and strength of our products. Now, these questions are very reasonable when you are coming from the position we were less than a year ago; quarterly expenses over $12 million, very tough to support as a sub-$20 million quarterly revenue company; quarterly adjusted EBITDA loses over $4.5 million and using cash sometimes at a rate of $6 million a quarter. Even though, we’ve known the strength of our products and the opportunity in the market, our focus of course had to be fixing our core business fast. That’s what the investment community, and even our customers and partners wanted to hear about. When you are spending money at that rate without solid growth in the core business, we clearly needed to demonstrate our health and strength before spending time communicating our business opportunity. Now today, 10 months since our decisive business refocus in January. The hard work we put in has come through in our financial results. We’ve stabilized cash all year, since completing our restructuring in the first quarter. Our quarterly operating expenses are down below $6 million from the over $12 million level in the third quarter a year ago. Our adjusted EBITDA is a positive $1.7 million, the positive swing of over $6 million from the negative $4.5 million adjusted EBITDA in the third quarter of last year, when you’re roughly $15 million quarterly revenue company that’s a big move to make. Now these numbers are our key metrics, and about them there is not much business conversation to have. However, the underlying business reality is the real opportunity. Internally, we’ve always remained confident of the strength of the original combination of SCM Micro, Hirsch and our RFID business which came together to form Identiv. In addition to the expense realignment, our growth results really reaffirm this. In markets growing about 10%, we grew sequentially over 30% in physical access, and over 20% year-over-year. In smart card readers, we grew over 20% sequentially and over 10% year-over-year. And then our RFID business, if you normalized for one major customer who represented over $3 million in the third quarter a year ago, we grew over 10% year-over-year on a much healthier diversified customer base. Our access in smart card businesses certainly we are accelerated by the seasonal federal government buying cycle in the third quarter. But even year-over-year, you can see the sustained growth rates. So we are growing faster than the market and taking market share, even while we’ve been doing the necessary hard work internally that’s reflected in our financial results. But until we’ve demonstrated progress on the financial metrics we’re showing today, as you’d expect not much else mattered to the outside world. So now that our progress and business strength are clarifying what does it mean for our future. The key lies in how we’ve made this progress. We took decisive actions to focus on businesses we knew very well. Our team kept executing, driving forward and serving our customers, even while massively realigning our resources. Our product strengths continue to resonate with our customers and our technical depth kept the moving forward and gaining share. Possibly most relevant, the strength and mission criticality of our market kept it moving forward for ourselves and for our partners. Now in our core markets, as I mentioned, we’re gaining share. Our market gains have come in the federal government, in the Cisco channel, smart card readers, and RFID expansion in some strategic applications sectors. We’re succeeding, because of our product breadth and technology depth. This is the core of our competitive advantage, which I’ll go into in more detail later. Similarly, we’ll go into more detail about the growth opportunities, as our strength leverage exploding technology platforms we’re all aware of, positioning our access control and RFID platforms to become a pivotal part of the physically active IoT. Our core strengths are in RFID, cards, protocols, readers, panels, access and event management software. Now, happening independent of us providing great opportunities for us to leverage include mobility, IP-enabled devices, machine learning, and cloud platforms. Now, you can imagine how our access platforms and technology are massively more powerful by leveraging these changes that are happening around us. It’s a truly exciting moment in our market both today and tomorrow. But one thing I’d like to emphasize before I turn the call over to our CFO. Our work to be more efficient, focused, productive and profitable will never stop. We’ll keep reporting these metrics and driving to improve them even while we grow in our core markets and grab leadership in expanding wins. When we talk about markets and opportunities, we’ll explain the specifics of our position, our opportunities, how we thrive among our partners, customers and competitors. We are dedicated doing rifle shots, not shotgun blasts, and that’s what we keep communicating and executing. So with that perspective, I’d like to turn the call over to our CFO, Steve Finney, to go through our financial results, after which I’ll come back and focus on our execution results, and some of our more near-term execution metrics and outlook. Steve?
Steven Finney: Thank you, Steve, and hello everyone. All endeavor to fill in some of the financial details for the third quarter behind the business highlights Steve just introduced. Beginning with revenues and margins, as per the first financial slides for those following along on the presentation deck, revenues in the third quarter were $15.6 million, a 15% sequential increase compared with $13.5 million in quarter two, and a 10% decrease compared with $17.2 million in the comparable quarter of 2015. However, as Steve alluded to this latter period included the last substantial sales to our then largest customer in the electronic gaming space, and on a like-for-like basis our revenues were up 13% over quarter three of last year. As usual, I’ll break this down by segments. Our Physical Access Control segment represents approximately 47% of third quarter revenue, compared with 41% in the first half year and 33% in full year 2015. This is a telling reflection of our growing strength in this business segment, and helps our overall margin. We generated $7.3 million in the quarter in this segment, up 31% sequentially from $5.5 million in the second quarter of 2016, and also up 21% from the $6 million recorded in the comparable quarter of 2015. The continuing increases both sequentially and year-over-year are again primarily a result of higher sales of Physical Access Control solutions, including an increase in professional services engagements in the U.S., much of this related to end customers in the federal government sector for whom September is the fiscal year end. As mentioned in previous releases and discussed to great length by Steve, we’re continuing to focus on the strong and valued Hirsch customer base, including our new FICAM solution and in addition further developing our commercial offerings through ICPAM, and we expect continuing good growth in this segment through 2017 and beyond. Revenue from our Identity products, primarily smart card readers, reader modules and chipsets was $3.5 million in the third quarter. This represents a sequential increase of 21% from the $2.9 million revenue in the second quarter of 2016, reflecting stronger sales across all regions, and a comparable increase of 13% over the $3.1 million recorded in Q3 2015. This business continues to run strongly ahead of plan rewarding the refocus and investment in this area. Approximately 31% of our third quarter revenue or $4.8 million was derived from sales in our Credentials segment, which comprises both our access control credentials and our broader Internet of Things Transponder products. This revenue performance represents a small sequential decrease of approximately 2% from the $4.9 million revenue achieved in the second quarter of 2016, and a 38% decline from the $7.8 million delivered in the third quarter of 2015. However, again the change relative to 2015 is primarily due to sales of transponder products used in electronic game toy applications and other Internet of Secure Thing applications to certain large customers that were not repeated in the third quarter of 2016, and this is the last quarter in which comparative to prior year will be significantly impacted by this item. As previously anticipated and disclosed, we have no revenue in our All Other segment in this quarter. Now, turning to our gross margins, our GAAP gross profit margin was 44% in the third quarter compared to 39% in quarter two and 44% in the third quarter of 2015. On a non-GAAP basis, excluding certain noncash items, our non-GAAP gross profit margin was 47% for the third quarter compared to 42% in the second quarter of 2016 and 46% in the third quarter of 2015. The overall sequential and comparative increase in the quarter is primarily driven by sales mix both between and within segments, and the benefit of higher activity, offset in the Identity space by the previously referenced change for distribution sales model and certain international markets as part of our business restructuring. Moving now to our operating expenses, which is the next graphic on the webcast presentation. GAAP operating expenses totaled $7.1 million in the quarter compared to $7.9 million in quarter two and $14.1 million in the comparable quarter of 2015. Adjusting on a consistent basis to exclude restructuring and severance, and certain noncash charges normally excluded from our non-GAAP operating results, such as stock-based compensation, depreciation and amortization; our non-GAAP operating expenses in the third quarter were $5.5 million as compared to $6.8 million in the prior quarter and $12.5 million in the third quarter of 2015. These significant sequential and comparative decreases are primarily due to the positive impact of the restructuring activities undertaken in the first quarter and unrelenting focus across the business. In prior quarters at this point I’ve highlighted legal and professional fees related to noncore businesses activities. But I’m pleased to say these are now very significantly reduced and beginning to be offset by insurance recoveries. R&D expenses were down 6% from $1.3 million in the second quarter to $1.2 million in the third, and down 43% from $2.1 million in the prior year comparable period. The level of spending reflects the refocusing on core business activities subsequent to our Q1 restructuring. Sales and marketing expenses were $2.9 million or 19% of revenues in the third quarter, a small decrease of $38,000 or 1% sequentially, but a decrease of $1.7 million, which is 37% from the third quarter of 2015. Again as noted previously, our level of spending here is also a result of reduction of headcount and the delayering of management through the quarter one restructuring activity, and the positive impact of other cost saving initiatives. G&A expenses in Q3 were $1.5 million compared to $2.6 million in the second quarter and $5.7 million in the third quarter of 2015 reflecting the reduction in the non-core legal expenses in addition to the benefits of the restructuring. And so, as we now look at our full income statement per the earnings release, our GAAP net loss was down to $743,000 compared to a loss of $3 million in quarter two and a loss of $7.2 million in quarter three of 2015. Our non-GAAP adjusted EBITDA gain was approximately $1.7 million in the third quarter 2016. That’s a gain and a gain 11% of revenue compared to non-GAAP adjusted EBITDA losses of $1.2 million in the second quarter of 2016 and $4.5 million in the third quarter of 2015. Please note the earnings release includes the full reconciliation of GAAP to non-GAAP information. Restructuring and severance charges recorded in the third quarter of 2016 were $0.2 million reflecting small adjustments to severance and facilities costs previously accrued under the quarter one restructuring plan. A restructuring charge in the prior quarter was also $0.2 million. And we do not expect to incur further charges in connection with the implementation of this plan. A couple of last things while on the income statement. Interest expense of approximately $525,000 for the quarter is comparable with the $519,000 recorded in the second quarter of 2016, and noncash stock-based compensation was $0.9 million in the third quarter reflecting the effect of the issuance of a backlog of incentive compensation grants that have been held up during the previous year, while we’d be noncompliant with our filings compared with $0.4 million in the second quarter of this year. Now, if I could turn to the balance sheet, I’ll again be comparing our position at September 2016 to a position one quarter ago at June 2016 as well as the last year ended December 2015. First, our reported cash, which was $9.2 million at September 30, 2016 as compared to $9.4 million at June 30 and $16.7 million at December 31 last year. Cash has now been consistent and stable since the end of quarter one. The $0.2 million net decrease in cash for the quarter comprises cash generated from operating activities of $0.4 million, which as you see from the graph, the GAAP net losses of $0.7 million with an add back of noncash items of $1.9 million gives you a positive $1.2 million less net changes and operating assets and liabilities of $0.8 million. In addition, there is minor usage of cash in investing and financing activities and small effects of exchange rates on cash also. Our last slide is the full balance sheet, again as per the table in the earnings release. We define working capital simply as accounts receivable plus inventory less accounts payable. This was $14.9 million at September 30, 2016 as compared to $15.3 million at June 30 and $16.4 million at December 31, 2015 with the reductions mainly being driven by getting our inventory levels down. With respect to accounts receivable, our day sales outstanding decreased to 49 days in the third quarter from 54 days at the end of the second quarter due to continuing improved collections. Inventories net of reserves decreased as I mentioned to $12.1 million at September 30 from $13.8 million at June 30 and $14.7 million at December 31, 2015. And our adjusted inventory turnover was approximately 3.2 for the third quarter, compared to 2.8 for the quarter ended December 31, 2015. We are still carrying significant transponder inventory in our Credential segment relating to a prior end-customer. The net book value of which we continue to expect to be able to monetize, either through with that end-customer relationship or through an alternative use-case, therefore no further reserves have been booked. Accounts payable decreased by $1 million due to the timing of payments. A couple of other noteworthy line items in the balance sheet, our accrued expenses and liabilities comprise of employee compensation, legal and professional fees, restructuring charges, and other items amounting in total to $6.9 million at September 30, an increase of $0.3 million over June 30, driven by accrued legal fees, much of which we expect to recover offset by the pay down of our restructuring liabilities. These accrued expenses in liabilities totaled $5.8 million at December 31, 2015. And for our debt, our long-term payment obligation decreased from $4.9 million at December 31 to $4.5 million at June 30, and $4.2 million at September 30, reflecting the continuing quarterly payments made, partially offset by the accretion of interest. Our long-term financial liabilities decreased from $17.7 million at December 31 to $8.2, $8.3 million on June 30 and September 30 as a result of reclassifying the term loan portion of our debt with Opus Bank and the related debt issuance costs to short-term at the end of quarter one 2016. That $10 million term-loan matures on March 31, 2017 and amounts to under the revolving credit line mature in November 2017. The company is again confirming the 2016 guidance we’ve been giving and delivering against since our 2015 year-end earnings release. Focus to revenue and operating costs, and most importantly we see ongoing positive EBITDA performance. And with that, I’ll conclude the financial discussion and pass back to Steve.
Steven Humphreys: All right. Thanks, Steve. I think we’ve talked about the progress on expenses and cash stability already. So suffice it to say, we’re continuing to drive efficiency, resource focus, working capital management, and gross margins as you’d expect that’ll never stop. Now we’ll - while keeping this discipline, as I mentioned earlier, we’re also driving solid growth across the board. Even though Q3 is seasonally our strongest quarter, our core growth has been strong every quarter this year as well as year-over-year and across all parts of our business. So let’s get into a little bit more tactical look at the events that drove these results. In the physical access space, our FICAM solution is under evaluation at over a dozen federal agencies now. Also more generally, our Hirsch brand has been successfully relaunched with great market reception. If you’re following the webcast and the picture on the right, you can see our booth at the largest trade show for physical security as is, which the center piece of which is a building with the Hirsch name on top. You kind of can’t see the Hirsch name because the lights are so bright, but it was very well received. And probably the main thing is, as you can see the booth is mobbed. At that booth, we were showing our FICAM solution, our commercial Velocity solution, as well as our Cisco and ICPAM platform. If you look closely, you can also see video cameras on the building. And this is a concept that’s going to remain with us as we add sensors, partner integrations, all around interaction with the building, and extending within the building we can take this concept and expand it right into our booths at all of our trade and marketing events. Now below that picture you can see our activity at the physical security and IoT show in China. Again, the activity around the booth and engagement is a great indicator for future growth in China and Asia. Our growth was also underpinned by our Cisco channel which has been a rapidly growing even on a quarterly-by-quarterly basis, expanding its pipeline and product launches. We’re integrating Cisco’s video system VSM with our Velocity platform, and also integrating our ICPAM platform into our MX platform and panels. So we expect to have a full range of solutions going through that Cisco channel very soon. And then really underpinning all of this is an expanding product pipeline across all of our platforms, readers, and cards. Under the RFID and smart card reader category we had record chip sales embedding our technology in keyboards and laptops, and embedding it in national programs such as the French National Healthcare Initiative. Meanwhile, our RFID leadership is continued. Notably, we remain focused on value-added applications that really improve our experience in the physical world around us. Now most of our customers insist on anonymity which we’ll always honor. But in terms of categories, our virtual reality headset application has delivered an awesome user-experience. And we’re also being integrated into home-automation platforms and others that I’ll go into in more detail in a couple more slides. Now, I won’t dwell too much on the next two slides. But the point is important to appreciate our competitive advantages. These seamless user-experiences we love to deliver are the direct result of our full range of solutions and deep technical capabilities. As the physical IoT delivers its benefits it will only take off if the experience is delightful and frictionless. We believe we’re virtually the only company with the full range of expertise and solutions to deliver the complete platform. Now, you can see our specific products here and the channel strengths we’re leveraging to deliver them. And on the next slide, this is the full platform needed to physical access and really for any physical interaction in the Internet of Things. It just happens that we have best-of-breed products and technology throughout the solutions. Cards, RFID, readers, protocols including PKI, panel and EDGE controllers, access and event management software platforms, the whole range we can deliver both as a complete solution with one window into it, and as best-of-breed components and even as OEM components that we deliver through partner sales. So, as you can see, our mission is to proliferate our technology everywhere, keep ourselves at the leading edge of it, and then be able to deliver those seamless complete solutions as the markets evolve. So drilling down into our RFID solutions, our strengths in the IoT verticals I mentioned is well established across transportation, ledger, payments, gaming, virtual reality, branding and others. As these instrumented things proliferate in the real world, our technology is supporting the most progressive and physically interactive applications. You can see where that’s going in our overall competitive advantage. It’s a really important part of our strategy as we deploy the high volume of capabilities, instrumented things out in the world that our platform can then access. I’ve been focusing on our core strengths and competitive advantages, which, of course, is most important to our near-term financial results. But I’d like to take a minute and talk about the longer term market for a minute. The Internet of Things is real and it’s huge. But it has two aspects to it. There’s the communication aspect. Machinery communicates when it needs maintenance. Trucks communicate their location, speeds, tons of applications. The IoT though has a second and much more powerful aspect, making physical things happen in the real world: doors opening, temperatures adjusting, alarms going off. This is the highest value of the Internet of Things. These with the communications application, after the message is sent, an old fashion truck with a technician in it rolls. With the active physical IoT our intentions make things happen. Now this is exactly where access control has always been positioned. From the beginning, our solutions have been opening doors and gates, mustering people outside in emergencies, and serving people’s security and access intentions with physical actions. An integral part of this platform, our RFID technologies, have been instrumenting things to serve people’s actions, metro turnstiles opening, VR goggles activating, ID cards at doors, you name it. The market opportunity is huge, and we’re positioned to be among the leaders as it emerges. Now, the way we’ll succeed is by serving our core markets exceptionally well and introducing new capabilities step by step as they become completely solid, beneficial and delightful to our customers. What’s most important to this critical market emerging over time is that people experience it as value-add and benefit delivered at each step of the way. If it becomes fragmented, unproductive or otherwise unsatisfying, it’s not going to take off. And we’re committed to making sure we’re laying the platform, but always delivering the value one step at time. So the way we do that is by focusing our core markets, which remain in the RFID and physical access space. We’ll never lose our focus on them. So I’d like to briefly us return us to that core market, which you see here. We’ve demonstrated our growth and strength in our business results and I’ve taken you through the specific components of our technology advantages, our product breadth and our technical depth. This gives us a very strong position in this huge market, which is nonetheless fragmented and open to our mix of partnerships, technology depth and aggressive execution. And that’s driving our market share growth within them. So we expect to continue to take share within our complete solutions, drive new product releases and integrations, broaden our partnerships, and while growing fast and profitably within this market begin accelerated growth as the physical IoT platforms become central to the commercial world. So to wrap up, our commitment is to improving people’s secure access to everything they need in the physical world. This is our core mission, but we still have work ahead to strengthen our financial base even while we drive growth. We’ve made some great progress but most important is the pace of progress that we’re driving, and that we continue that pace. Underneath it all, this is our real advantage, to keep making progress on all fronts, to move faster and get stronger and more profitable, while also becoming an even more central, trusted solution provider to make peoples’ lives safer and more convenient. Taking all these benefits into more aspects of our customers’ lives, bringing our own solutions to bear while leveraging the amazing technology progress that’s happening across mobility, IP-enabled devices, machine learning and cloud software that’s our opportunity. Making security and access frictionless and convenient is the best way to keep our customers safe and productive everywhere they go and in everything they do. This is our mission. Now we know we have to stay focused on the basics. But we hope that we’ve begun to earn the right to share our aspirations as well as continuing to deliver on our obligations. And part of that obligation of course is communicating as we make progress, so as always, we’ll continue to update you on our progress at investor events, the next one being Imperial Capital in New York in early December. With that, I’ll turn it over to Danielle to open the conversation for questions. Danielle?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Mark Drucker of B. Riley. Go ahead, Mark, your line is open.
Mark Drucker: Hi, Steve, thank you for taking my question. So with respect to restructuring, the balance sheet improved, operating expenses went down. How much more improvement are you looking for?
Steven Humphreys: From an OpEx perspective or a balance sheet perspective?
Mark Drucker: I guess if you could touch on both.
Steven Humphreys: So fundamentally we’re in the operating range we expect to sustain from an operating expense perspective. We do think we can grow substantially on the base that we got. We don’t expect to expand our operating expense base if we grow our top line. We’ll keep tightening everywhere we can, but that would be 5% adjustments here and there, not a major move on that front. And as you know, we tried to do all the actions in the first quarter and really it’s just been carry them out over the balance of this year, but it’s not something that we expect to do on an ongoing basis continuing to whack. We’re stabilizing, optimizing and growing at this point.
Mark Drucker: So just to make sure, Hirsch revenue was $7.2 million in the quarter?
Steven Finney: Yes, that’s correct, $7.3 million physical access revenue.
Mark Drucker: Okay. Thank you. And how much were investments in property planning equipment for the first nine months of the year?
Steven Finney: It’s not a big number. I’m sorry, I should have that at hand, but I don’t. The CapEx in the third quarter was just under $100,000. And we haven’t had significant spend at any point through the year.
Mark Drucker: Okay, that’s helpful. So last question - back on the balance sheet, how do you see - how do you see debt - your debt levels, maybe a year from now, or a couple of years from now? Paying $500,000 in interest expense, it’s not that significant to come - it’s actually come down significantly, but just wanted to touch on that, if you’re happy with where the balance sheet stands or you do want to continue paying down debt and in terms of time frame if you have any color on that as well?
Steven Humphreys: I’ll take a whack at that, right, because it’s as much an operating question as a financial question. We are EBITDA positive. We don’t expect to be using cash in the growth of our business on an ongoing basis. We’re not a heavy cash user. So it’s really a question of what the optimal financial engineering for our business is. How much we carry this debt, how much we do equity raises and drive liquidity in the market place that way. We do expect to be growing very aggressively and so we could look at - again this is something we didn’t have the right to talk about a few months ago, and it will certainly keep out feet under us for the next few quarters. But when you are talking two years out, we could be consolidating the marketplace we could be driving pretty aggressively in a number of directions. But, if we have not better use for our cash, we’ll be paying down the debt, and letting the cash flow drive that. We don’t need it for our core operations.
Mark Drucker: That’s helpful. Thank you.
Steven Finney: And just to close on the question you asked about CapEx, our spend through the nine months is a little over $400,000.
Operator: And our next question comes from Mike Latimore of Northland Capital. Go ahead, Mike, you line is now open.
Mike Latimore: Okay, thanks, great quarter there guys.
Steven Humphreys: Thanks, Mike.
Mike Latimore: On the - I think you had some products going through FICAM certification, can I get a quick update on if that certification has occurred. And then, you talked about being evaluated, I guess at 12 agencies, but I saw that you already had seen some orders, so maybe clarify - maybe the pace of business there or the traction you are already getting there?
Steven Humphreys: Yeah, it’s a nonlinear process that the government goes through. You would think complete certification is a prerequisite to shipping and installation, and it’s not because FICAM is a complex standard. So we’ve passed all of the qualifications, and now there is a final testing process that goes on in the labs, however agencies are allowed to buy and order - actually as soon as you submit to the APL, the approved product list. And, they are certainly comfortable ordering having completed the certifications. And so, it’s almost a pro forma event when you are formally completely through their process. So we actually had a federal government open house, we had over a dozen agencies in our offices in Arlington, we kind of did a new relaunch of our D.C. location. And a lot of agencies, that aren’t even amongst us, are mentioning in evaluation that we are sitting down, rolling up sleeves and understanding how implementation can be done. Because we do have the end to end technology ownership, we could really advise them on all the - the tricks and stumbling blocks and issues for each of their environments that they might run into based on what panels they’ve got, what reader’s they’ve got, what kinds of cards they have, et cetera. So it’s very active, and you never want to project too much in terms of specific timing with federal government. But we really do seem to be building a position as a trusted advisor there and we really do have a solution, which is faster and less expensive than any of the competition.
Mike Latimore: Yes. Okay, got it. And then with also related to the Cisco partnership, I know you are enhancing some of your products relative to that. When do you think those kind of key product enhancements will be ready in this year or the next year sometime?
Steven Humphreys: Yes, yes, so one of the things you’ll find from us is when we talk about things it’s usually pretty near term. So the Cisco video integration with Velocity and the ICPAM - especially the ICPAM integration with our MX boards, that’s already on a Cisco price list and we are taking orders on it, and we’ll be shipping in the next couple of months. Similarly, either by the end of the year or early in January, the full integrations will be shipping. So these are all two month kind of windows that we are talking about.
Mike Latimore: Got it. It sounds like on the RFIDs you said, I think sounds like your - on the pipeline or the bidding activity is fairly active there. I guess, is that a category that you think can grow in 2017?
Steven Humphreys: Yes, very much so. As we mentioned it’s growing already at about a 10% clip, and that’s coming off some repositioning as we had a big customer change there. There’s some - the applications that we’re talking about here, virtual reality, some of the others that I mentioned, home automation, it really becomes part of that enabling technology that makes the user experience just seamless. So we do think it’s going to be a part of the infrastructure and part of the growth of IoT and therefore, yes, we do think it’s going to be an increasing growth rate, above what you’re already seeing from us.
Mike Latimore: And then just sort of a current topic, the new president here, any general view on what that means for your federal government assistance?
Steven Humphreys: One thing that changing administrations don’t tend to mess with is security. We secure all of the field offices of the FBI and the IRS. No one is going to say, hey, cut some corners on keeping the doors safe there. So we don’t see any at all there and with change sometimes there is new initiatives that get looked at. So there may be some opportunities there, but certainly we don’t see any threat to the current programs.
Mike Latimore: Okay. Thanks.
Steven Humphreys: Thanks, Mike.
Operator: And I am showing no further questions at this time.
Steven Humphreys: Alright, thank you operator - Danielle, sorry. And thank you all for joining us, and have a great day, and look forward to further updating you at our next investor conferences and investor events going forward. Thank again, have a good day.
Steven Finney: Thanks everyone.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating, you may now disconnect.